Operator: Good morning and welcome to the Boston Private Financial Holdings Third Quarter 2019 Earnings Conference Call and Webcast. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded.I'd now like to turn the conference over to Mr. Adam Bromley, Director of Investor Relations. Please go ahead sir.
Adam Bromley: Thank you, Keith and good morning everyone. This is Adam Bromley, Director of Investor Relations of Boston Private Financial Holdings. We welcome you to this conference call to discuss our third quarter 2019 earnings. Our call this morning includes references to an earnings presentation which can be found in the Investor Relations section of our website bostonprivate.com.Joining me this morning are Anthony DeChellis, Chief Executive Officer; Steve Gaven, Chief Financial Officer; and Paul Simons, President of Private Banking Wealth and Trust.This call contains forward-looking statements regarding strategic objectives and expectations for future results of operations and financial prospects. They are based upon the current belief and expectations of Boston Private's management and are subject to certain risks and uncertainties.Actual results may differ from those set forth in the forward-looking statements. I refer you also to the forward-looking statements qualifier contained in our earnings release which identified a number of factors that could cause material differences between actual and anticipated results or other expectations expressed.Additional factors that could cause Boston Private's results to differ materially from those described in the forward-looking statements can be found in the company's filings submitted to the SEC.All subsequent written and oral forward-looking statements attributable to Boston Private or any person acting on our behalf are expressly qualified by these cautionary statements. Boston Private does not undertake any obligation to update any forward-looking statements to reflect circumstances or events that occur after the forward-looking statements are made.With that, I will now turn it over to Anthony DeChellis.
Anthony DeChellis: Thanks Adam. Good morning everyone and thank you for joining the call. Before we review third quarter 2019 results, I'd like to update you on our progress on some key initiatives during the quarter.We said that our ability to attract high-quality talent will be a leading indicator of our ability to achieve the 2022 targets we shared at our Investor Day. I'm pleased to share some key additions to our team since our last call.In August, we announced that John Longley joined us as President of the Western Region. John previously served as Head of Private Wealth at BlackRock after spending 17 years at Citigroup where he concluded in the role of Chief Executive Officer of Citi Private Bank North America. John will manage the Western Region's day-to-day operations as well as support business development, talent acquisition, and client management.Earlier this month, we announced that Pat Dwyer joined us as Head of Strategic Business Development. Prior to joining Boston Private Pat served as a private wealth adviser at Merrill Lynch for over 30 years where he earned numerous accolades including a number five ranking in the Forbes Top 250 Wealth Advisers in the United States from 2016 to 2019 and a Top 100 ranking in the Barron's Top Financial Advisers in America from 2017 to 2019. Pat will focus on driving growth across all our markets.We added three other advisers and relationship managers during the quarter particularly to support our family office business development efforts. A full list of new hires can be found on the Newsroom page of bostonprivate.com.We're encouraged by these additions to our team as we believe it signals that Boston Private is a destination for the industry's top talent and we are optimistic about the state of our talent pipeline going into 2020.Our team achieved a key milestone during the third quarter by completing the formal integration of Boston Private Wealth and KLS Professional Advisors. These two firms both share a mission of providing clients with holistic wealth management advice and their combined strengths allow for a more complete set of client solutions.The integration represents a continued simplification of the Boston Private business model and it provides a platform for growth in the critical wealth market of New York City. The combined firm ranks as one of the largest registered investment advisors in the United States focused on serving ultra-high net worth individuals.We believe the size, strength and capabilities of the combined firm are attractive to both prospective clients and new hires. We are also excited to open a new modern flagship banking office in downtown San Francisco, along with the new co-location of our banking, wealth and trust teams to facilitate better collaboration. This new office along with the hiring of John Longley reaffirms our commitment to growing all of our businesses in California.Finally, our technology platform enhancements and new client solutions across all business units as outlined by Maura Almy at our Investor Day remain on time and under budget. There's obviously a lot more going on at Boston Private, but these initiatives are examples of sources of confidence we have regarding our ability to grow and allows us to reinforce the 2022 targets we shared earlier this year.With that, I will turn it over to Steve Gaven, who will walk us through third quarter 2019 results. Steve?
Steve Gaven: Thanks, Anthony, and good morning everyone. My comments will begin on slide 3 where we show a summary of our consolidated financial highlights from the third quarter. This quarter, we reported net income of $20 million or $0.24 per share. Total deposits averaged $6.7 billion for the quarter, a 1% decrease year-over-year. Client deposit activity is strong thus far in October, and we are confident we will manage back to a 100% loan-to-deposit ratio during the fourth quarter.Total loans averaged $7 billion for the quarter, a 4% increase year-over-year. Our end-of-period total loans was impacted by a $90 million loan sale we completed to both prioritize balance sheet capacity to support future client acquisition and manage our liquidity ratios.Total AUM as of September 30, 2019 was $16.2 billion flat linked quarter as positive market actions offset negative net flows. Total net flows for the company were negative $137 million, $100 million of which was attributable to the Wealth Management & Trust segment. Though net flows remained negative in the current quarter, we have seen client attrition improve sequentially for the past three quarters.Departed advisors and anticipated distributions from existing clients have been a primary driver of year-to-date negative net flows. Tier 1 common equity ratio was 11.2%, while tangible book value per common share increased 16% year-over-year to $8.90.During the third quarter, we implemented a $20 million share repurchase program and we repurchased approximately 678,000 shares of common stock at an average cost of $10.61. $12.8 million remains available to be repurchased in the current program.Slide 4 shows our income statement on a reported basis under GAAP. As you'll recall, we completed the divestiture of BOS in the fourth quarter of 2018. Financial results from BOS remain consolidated in the third quarter of 2018 results, which primarily explains the year-over-year decrease in revenue and expenses.Third quarter 2018 results also include a $5.8 million restructuring charge related to efficiency initiatives. To enhance comparability in analyzing financial trends in the core business, the upcoming slides include certain non-GAAP operating metrics that exclude the previously mentioned restructuring charge and contributions from BOS in the third quarter of 2018. A reconciliation of GAAP to non-GAAP metrics can be found on Slide 15.Slide 5 shows consolidated income statement excluding notable items and BOS. Pre-tax, pre-provision income decreased 6% year-over-year and 2% linked quarter, driven by lower net interest income. Pre-tax income and net income both increased 3% on a linked-quarter basis, primarily driven by lower provision expense during the quarter.Slide 6 shows consolidated revenue trends. Wealth Management & Trust fees include revenue from the newly integrated registered investment adviser, BOS and trust operations of Boston Private Bank & Trust Company. Total operating revenue during the third quarter was $81.3 million, down 6% year-over-year and 1% linked quarter, primarily driven by lower net interest income.On slide 7, we show a detailed breakout of our consolidated expenses on a GAAP basis. Total non-interest expenses declined on a year-over-year basis, primarily due to the previously mentioned restructuring expense and the BOS results that are included in the third quarter of 2018 results.Slide 8 shows a detailed breakout of consolidated operating expenses excluding notable items and BOS results in the third quarter of 2018. Total non-interest expense decreased 6% year-over-year while remaining flat linked quarter. The year-over-year decrease was driven by lower compensation and technology expense as a result of previously enacted efficiency initiatives.The linked-quarter comparison reflects lower salaries and employee benefits, partially offset by higher occupancy and equipment expense related to the opening of our San Francisco office. Professional services expense was elevated during the quarter due to consulting fees related to technology implementation and recruiting fees.Slide 9 shows the past five quarters of average loan balances and deposit balances by type. Total average loans during the quarter increased 4% year-over-year to $7 billion. End-of-period residential loans declined $62 million, driven by a $90 million loan sale that was completed in September.Total average deposits during the quarter decreased 1% year-over-year to $6.7 billion. The year-over-year decrease of 1% was driven by lower commercial client demand deposit balances, lower private client interest-bearing checking balances and lower broker CD balances, partially offset by growth in commercial money market balances.The linked-quarter increase in deposits of 1% was primarily driven by growth in commercial client money market balances, partially offset by lower private client interest-bearing checking balances and lower broker CD balances.Slide 10 shows a five quarter trend of consolidated net interest income and net interest margin. Core net interest income, which excludes interest recovered on previously non-accrual loans declined 3% linked quarter to $56 million, driven primarily by the repricing of variable rate loans and lower interest-earning asset volumes, partially offset by lower borrowing volumes.On the bottom of the slide, we show a net interest margin table including changes in asset yields and funding costs. Core net interest margin decreased seven basis points linked quarter to 2.71%, as the change in NIM was driven by a nine basis point decline in loan yields, primarily CRE and construction yields.The total cost of funds increased one basis point linked quarter from 111 basis points to 112 basis points as higher cost of deposits partially offset by lower borrowing volumes.Slide 11 provides detail on our asset quality. This quarter, we booked a provision expense of approximately $200,000, which was primarily driven by required reserves for classified loans, partially offset by lower reserves for pass-rated loans. The chart below shows asset quality metrics during the quarter. Overall, criticized loans declined 2% linked quarter to $139 million. ALLL as a percent of total loans was 107 basis points.On slide 12, we show the Private Banking segment excluding the Wealth Management & Trust portion of our bank. The private bank efficiency ratio increased from 62% to 63% linked quarter, driven primarily by higher professional fee expenses and lower net interest income.I will now turn it back to Anthony to discuss our Wealth Management & Trust segment.
Anthony DeChellis: Thanks, Steve. Slide 13 shows performance highlights for the Wealth Management & Trust segment, which includes financial results from the recently integrated Boston Private Wealth and KLS Professional Advisors as well as the trust operations of Boston Private Bank & Trust Company. Segment EBITDA margin for the quarter was 33% versus 30% in the second quarter of 2019 and 26% in the third quarter of 2018.The linked-quarter improvement in EBITDA margin was primarily driven by revenue growth of 1% and lower compensation expense. AUM in this segment was $14.7 billion, flat linked quarter as positive market action offset $100 million of negative net flows. Net flows of negative $100 million were driven by $271 million of outflows linked to previously announced adviser departures, which were partially offset by $171 million of new client business.That concludes our prepared comments on our third quarter 2019 reported results. I'll now open the line for your questions.
Operator: Yes. Thank you. [Operator Instructions] And the first question comes from Chris McGratty with KBW.
Chris McGratty: Hey, good morning, everybody.
Anthony DeChellis: Good morning, Chris.
Chris McGratty: Steve maybe start with you. Some of your peers given the rate environment and the flat curve have been electing to kind of shrink the balance sheet pay off higher-cost borrowings, reduce securities given the sometimes inverted spread. Can you elaborate on kind of thoughts on that strategy given where you -- where we are in kind of the rate cycle?
Steve Gaven: Yes. I mean we're really focused on driving that loan/deposit ratio down and as we said, we've had strong client activity thus far in the quarter. We're actually looking to build the securities portfolio to get the on-balance-sheet liquidity back to where we'd like it to be. We've done some small things on the liability side, but we don't have any kind of wholesale strategies to restructure the liability stack or the wholesale borrowing stack in order to optimize NIM on a go-forward basis. It's really about building that on-balance-sheet liquidity at this point.
Chris McGratty: And how much of the -- how much growth should we be thinking about in terms of the securities growth from here?
Steve Gaven: I just -- I think you'll see it tick up sequentially a little bit. I would think about it more as if you think about getting into year-end and kind of having loans at that kind of $7 billion $7.1 billion range and what that means for the LD ratio and then kind of the offset being the securities book building. And then we'll look to build that even further into next year.
Chris McGratty: Okay. And then maybe taking a step back, with the loan-to-deposit north of 100%, I understand the comments that that's coming down this quarter. Does that elevated level kind of impact your ability to reduce deposit costs? It's still up sequentially. I'm kind of interested how the repricing of the deposits might be tracking maybe where the September spot rates are and kind of overall NIM commentary for the next couple of quarters. Thanks.
Steven Gaven: Yes. I think what you saw in the second quarter and into the summer with LD elevated that obviously put some pressure on deposit costs. But with activity coming back, those deposit cost pressures are starting to subside a bit. What we saw kind of in September where deposit costs come down about four basis points from August. The expectation is that will continue into the fourth quarter. So we expect deposit costs down 10 to 12 basis points through the end of the year.From a NIM perspective, flat to slightly down on NIM, just given the pressure on asset yield in the current rate environment. In our modeling right now we're expecting a 25 basis point rate cut in October, betas between 25% and 60%, depending on product. And we've still been modeling kind of zero to four-month lags, again, depending on product.
Chris McGratty: Great. And then, maybe if I have -- any kind of thoughts on CECL given the turn in the year?
Steven Gaven: Yes. So where we are in CECL, we finalized model selection, refining our regression work as we speak. The real focus right now for us is documentation, governance controls. We'll be in a position to comment on CECL impact next quarter, but all-in-all we think it's very manageable from an impact standpoint.
Chris McGratty: Great. Thank you.
Steven Gaven: Welcome.
Operator: Thank you. And the next question comes from Alex Twerdahl with Sandler O'Neill.
Alex Twerdahl: Hey, good morning.
Steven Gaven: Good morning.
Alex Twerdahl: Hey, first off, I was wondering if maybe you could give us a little bit more commentary on expenses and kind of how we should be thinking about it. I guess a little surprised to see salaries down about $1 million sequentially, given some of the key hires that you guys have been making. So is there something else in there, maybe some bonus accrual reversals or something that maybe doesn't carry forward into the fourth quarter into…
Steven Gaven: Yes. Exactly, Alex. What you saw were some bonus accrual reversals for variable incentive comp and then commission comp, just given where some volumes are year-to-date. Total expenses expectation is back to that $58 million to $59 million range next quarter. And within that, we are still assuming that there's an FDIC insurance cost in there. We could get a credit, but until the FDIC tells us we won't know.
Alex Twerdahl: Okay. And then, with some of these key hires, just a little Google work suggests that they ran some teams in the places where they're coming from. Do they come over as solo individuals, or do they bring other people with them? And then, maybe just an overall update on the number of RIAs that you guys have at the end of the quarter, given that you had some commentary on some planned adviser departures.
Anthony DeChellis: Sure. Starting with the last part first. I think you meant number of advisers. Is that correct?
Alex Twerdahl: Correct.
Anthony DeChellis: Right. So the number of advisers, I think, on the last call we said it was between 56 and 58. We are at 58 advisers as of this call and I think we guided to 60 to 65 by the end of the year and we're still very comfortable with that guidance.We brought over different advisers. Normally they come over as individuals. We don't typically comment on individual advisers. But clearly they were associated with teams and members of those teams could join later on. But at the moment they've come individually.
Alex Twerdahl: Okay. And then, just a final question, as it relates to the wealth business. Over the last couple of weeks there's obviously been a lot of talk and we've seen the e-brokers cut their commissions down to zero. And I know the product that you guys offer is much different from just trading commissions.But maybe you can just talk a little bit about whether or not you expect there to be some contagion into that product expected pricing if there's any sort of pressure that you guys are seeing already leading from some of the moves that the e-brokers make made earlier this month.
Anthony DeChellis: So starting with the last part first. We're not seeing any immediate impact from that. We are -- it is a very different business model. It can impact sort of the expense on the expense side with 0 commissions with some of the custodians, we do business with. But as far as the business model is concerned, we haven't seen an impact and we don't expect to see one.
Alex Twerdahl: Thanks for taking my question.
Operator: Thank you. [Operator Instructions] And the next question comes from Lana Chan with BMO Capital Markets.
Lana Chan: Thank you. Good morning. Wanted to talk about the resi mortgage space. We're hearing about pretty intense pricing competition not only just from lower rates, but competition in general. What do you guys see in terms of new pricing there?
Steven Gaven: Yes. So Lana if you think about what we're seeing kind of in the ARM space, new pricing just kind of on the headline basis, the 7/1 is kind of our key product so in the kind of low 3s, mid-3s. Now the pricing pressure starts to kick in, when a client can bring more obviously the pricing moves lower. So if they're going to bring over large deposit balances or wealth relationships you could see that tick down, but again the overall economics of that relationship -- pretty attractive.We've actually been holding the line pretty firmly on rates because we're not as volume focused as some of the people in our -- in the space that we're competing against. But all in all just with the rate environment and everything else there's certainly rate pressure in the resi market.
Lana Chan: Okay. And just as a follow-up given some improvement on gain on sale margins recently are -- this expectation of bringing the loan-to-deposit ratio down to 100% in the fourth quarter is that also predicated on additional loan sales?
Steven Gaven: You could see additional loan sales and participation as a way to get there. This isn't a shift of business model necessarily where we're now going full board into mortgage banking. These are just some opportunistic sales. When we look across the loan book we're looking at clients where we don't have a full relationship and there's not really an opportunity to have a full relationship.So it's a matter of freeing up capacity as we get into next year, particularly as we get the family office offering going where, there's some really attractive lending opportunities that bring to bear kind of the whole bank. So part of its liquidity management, but part of it's also just getting capacity for those new clients that are part and parcel to the new strategy.
Lana Chan: Okay. And just one last question, if I may. How do you -- how should we think about the pace of stock buybacks for the remainder of the authorization?
Steven Gaven: Yes. We're just going to continue to be opportunistic. I think you could see where we were buying back at and the pace we were buying back at. We have no intentions right now to meaningfully shift our approach. So we'll continue to be opportunistic. And if we exhaust the $20 million, we'll evaluate whether or not it makes sense to put another authorization in place.
Lana Chan: Okay. Great. Thank you.
Steven Gaven: You’re welcome.
Operator: And the next question comes from Christopher Marinac with Janney Montgomery Scott.
Christopher Marinac: Thanks good morning. I wanted to ask if the new advisers you have any specific deposit-gathering goals and if that's a source of deposit growth in the future.
Anthony DeChellis: It's certainly part of our overall business model to have advisers deliver the complete bank and their compensation system will reflect that. Paul I don't know if you want to add anything to that.
Paul Simons: No. I think that covers it.
Anthony DeChellis: Okay.
Christopher Marinac: Okay, great. And then Anthony do you think that the negative AUM has a shot of reversing in the next couple of quarters? Or just any further color on that?
Anthony DeChellis: What I'm confident of is the people that we've hired over the last two quarters are now settling into their jobs and we are optimistic about the impact that they're going to have on the firm. So I am optimistic about our NNA numbers going forward.
Christopher Marinac: Great. Thanks guys. Appreciate it.
Operator: Thank you. And the next question comes from Adam Hurwich with Ulysses.
Adam Hurwich: Good morning. I wanted to just follow-up on a previous question.
Anthony DeChellis: Okay.
Adam Hurwich: On the Analyst Day you spoke about the rise in assets in the Wealth Management segment that are going to grow three times the rate of the growth of the balance sheet. How should we think strategically about your capital distribution?
Steve Gaven: Hey Adam this is Steve. I'll take that question. So I think from a capital distribution perspective, once the strategy really starts to set in and we see that top-line growth pick up, the expectation is that we'll keep the dividend where it is right now and work that down to a lower payout ratio. And as we get into excess capital position as we execute against the strategy if there aren't smart M&A opportunities available, we'll look to return that through share buybacks.
Adam Hurwich: And Steve just to follow-up, if you execute successfully in your strategy, the rate at which those -- that excess capital is generated should rise. Is that correct?
Steve Gaven: Correct, yes. Because you're looking at -- right now if you look at the core ROE and the payout ratio and where we're growing the balance sheet, it's pretty much keeping capital ratios flat to slightly up or down depending on accounting march from quarter-to-quarter. But as that strategy starts to green out and ROE rises and that spread between payout and ROE gets greater that provides more flexibility for share repurchase.
Adam Hurwich: Thank you.
Steve Gaven: You're welcome.
Operator: Thank you. And the next question is a follow-up from Chris McGratty with KBW.
Chris McGratty: Great. Thanks for the follow-up. Two quick ones. One the $10 million jump in classifieds, could you just provide a little color on that? It's probably one credit or two. And then also Steve, kind of, a rule of thumb for each 25, could you just remind us what the NII or what the margin sensitivity might be?
Steve Gaven: Sure. So I'll take the first one. You saw that uptick. I think it was about $10 million or $11 million. $7.5 million was one credit where there's lease expirations coming up. The rest there were six loans in total that drove that increase. They were kind of spread across regions and product or end products, so nothing systemic in there. Really the one $7.5 million credit drove that.I'll get back to you on the NII sensitivities as we don't typically disclose that until we have the IRR simulations in the Q.
Chris McGratty: That's fine. And then in terms of loss content for that larger credit what are the expectations there?
Steve Gaven: We believe the risk of loss is low.
Chris McGratty: Thank you.
Operator: Thank you. And at this time, I would like to return the floor to Anthony DeChellis for any closing comments.
Anthony DeChellis: Thank you all for joining the call today and we look forward to next quarter. Have a good day.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.